Operator: Ladies and gentlemen, thank you for standing by, and welcome to the NI's Fourth Quarter 2020 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker presentation there will be a question and answer session.  Please be advised that today's conference is being recorded.  I would now like to hand the conference to your speaker today, Marissa Vidaurri, Head of Investor Relations. Please go ahead, ma'am.
Marissa Vidaurri: Good afternoon. Thank you for joining our Q4 2020 earnings call. I'm joined today by Eric Starkloff, President and Chief Executive Officer; and Karen Rapp, Chief Financial Officer. We will start with an update on our performance in the fourth quarter and for the year before opening up for your questions. Our discussion today will include forward-looking statements, including statements regarding future growth and profitability, our focus, plans, objectives, strategies, targets, goals, growth rate and other models, commitments, position, estimates, capital allocation plans, dividend, expense management plans, charges, revenue and earnings guidance operating expense guidance, estimated tax rate and our outlook.
Eric Starkloff: Thank you, Marissa. Good afternoon, and I appreciate everyone joining us today, and I hope that you and your families are doing well and staying safe. I am very proud of our execution in the fourth quarter and a strong close to a challenging year. Revenue in the fourth quarter exceeded the high end of guidance and was an all-time record for quarterly revenue. We saw positive sequential and year-over-year order growth across all regions and orders across all business units were up sequentially. Now being the leader in our space and transforming the business requires bold moves. We've been transforming NI by strengthening our commitment to innovation, building upon our strong position in software through additional data and analytics, focusing on systems to increase our share of wallet, monetizing services to enhance the support of our systems and streamlining our processes to gain leverage and scale with our broad-based customers.
Karen Rapp: Thank, Eric. Hello, everyone. Thanks for joining us today. As you heard from Eric, we ended the year strong with momentum going into 2021. For Q4, we reported GAAP revenue of $368 million, a record for a quarter and above the high end of guidance shared on October 29, 2020. We also saw record quarterly non-GAAP revenue of $370 million, up 20% sequentially. For the full year 2020, I'm pleased to announce that we achieved the targets we shared at our investor conference in August. Revenue was $1.3 billion, down 5% year-over-year and in line with our expectations. Our 2020 non-GAAP gross margin was 75%, and non-GAAP operating margin was 15.7%. Ahead of the model we shared in August and up 170 basis points from 2017 when we had similar revenue, demonstrating the focus we have had on driving efficiency in our cost structure. In the fourth quarter, total orders were up 7% year-over-year. Orders under $20,000 were down 4% year-over-year and up 12% sequentially, which aligned with our expectations of Q3 being the low point of the recession. Orders over $20,000 were up 13% year-over-year and up 41% sequentially, continuing to demonstrate the success of our strategy to provide higher level solutions for our customers through systems and software. We reported positive sequential and year-over-year order growth across all regions. In the Americas, orders were up 7% year-over-year. Orders in EMEA were up 2% year-over-year, and orders in Asia-Pacific were up 10% year-over-year. Despite the previously discussed headwinds, orders were up 19% year-over-year in China, driven by an increase in government stimulus, and our focus on the growing number of semiconductor customers in this fragmented market. Non-GAAP gross margin in Q4 was 74.2%. We continue to see about 60 basis points of impact from additional costs related to COVID-19. And services has been an accretive growth area for us, and we will continue to focus on monetizing the services we provide and leveraging our services expertise to drive high-value system sales. This operational change shifted approximately $3 million from operating expenses to cost of goods sold in Q4 on a year-over-year basis, but had no impact on our operating margin. Non-GAAP gross margin was 74.6% in 2020, continuing to demonstrate the value of our brand and the benefits our platform and systems provide to our customers. We reported Q4 2020 GAAP net income of $4.7 million and diluted earnings per share of $0.04 per share, just above the midpoint of our guidance shared on October 29, 2020. GAAP earnings per share includes higher restructuring charges than previously expected, primarily due to the acceleration of exit timing in some locations. Q4 non-GAAP net income was $67 million, and diluted non-GAAP earnings per share was $0.51, exceeding the high point -- the high end of our previous guidance. 
Eric Starkloff: Thank you, Karen. Reflecting on the challenges of 2020, I'm extremely proud of our ability to adapt and remain focused on our long-term potential while executing in the short-term during circumstances no one could have predicted. The areas of our business, we have focused on strategically showed growth. And though the global economy proved to be a headwind, we continue to see stability across our business. I believe this is proof that our strategy is working. As we've seen all too vividly in the past year, the work of our customers drives critical, often life-changing innovations. I believe we have a tremendous opportunity in front of us to improve that work, to help them bring their products to market faster with more efficiency and better quality. Although the market remains dynamic, I am optimistic and believe we enter 2021 poised to accelerate growth. I firmly believe that when we as a business unite towards a common goal, we will be well positioned to meet or exceed those expectations. We achieved the 2020 financial targets shared at our investor conference in August, and we remain committed to our 2023 financial model. We have and will take a broad range of actions to accelerate growth. We will continue to hire critical expertise. Make investments aligned to our 4S strategy and continue to view our strong balance sheet as a way to leverage inorganic investment as strategic accelerators to help us achieve our growth targets faster and across the broader range of customers. We also believe that doing good is good for our business. Early next month, we will release our first ever corporate impact strategy report that outlines how we'll drive the positive change NI and our customers can create in the world. It includes important goals and focus areas to guide our work, and we'll measure our progress towards creating a more sustainable, equitable and inclusive world. And it will embody our mantra of engineer ambitiously. And finally, I want to recognize all of our global employees for your resiliency in an extraordinary year. I challenge you all to come through this environment stronger, and that's exactly what you did. I'm immensely proud of the work you have done together and your support of the incredible work of our customers. I look forward to what's in-store for the coming year and the opportunity to work alongside all of you to make it happen. With that, we'll now take your questions.
Operator:  Our first question comes from Samik Chatterjee with JPMorgan. Your line is now open.
Joe Cardoso: This is Joe Cardoso on for Samik. My first question is around the profile business. So I guess what I'm trying to understand is the strategic actions that you guys referenced. Can you kind of dive into what strategic actions you've taken thus far? And what other actions you guys have to take going further in the future? And then I guess my second question is just around operating expenses, taking a big jump in 1Q. Just trying to understand how we should think about OpEx trending through the remainder of the year as it relates to typical seasonality?
Eric Starkloff: Sure. Joe, I'm going to take the first one, and then Karen is going to take the second one. So portfolio view, yes, the way I think of that is, as I mentioned, so the nearest term is that, that business has been pretty correlated to economic indices. So I commented on that in the prepared remarks. And certainly, we've seen improvement with Q4 going into positive territory for the first time in nine quarters, and that continuing into Q1 so far. In terms of the actions we're taking, first and foremost is really about the go-to-market motions with that business unit. It's got a very broad set of customers, and we see opportunity to improve the efficiency and effectiveness of our sales and marketing channel. And so things that we're doing in terms of our website, with ni.com, what the distribution actions we're taking, have a disproportionate impact on that portfolio of BU. So that's a big focus in the shorter term. Now in the longer term, we're also working on things that we will do to essentially make the products fit better into those channels, if you will. So these are incremental improvements to our products, to improve their ease of use to make them easier to buy, easier to use, easier to support. And we see increased opportunity in our software position in that space. And through more subscription-based models in the way that we serve those set of users. And Karen?
Karen Rapp: Yes. For the operating expense, yes, the way to maybe think about that is in 2020 was a pretty unique year. I would -- as I build out models, I would go back and look at 2019 and the profile of operating expense across the quarters in 2019 to build out a 2021 model that looks like a normal type of years. Now that assumes that 2021 is going to return to a normal type of year, but that's how I'm looking at it at this point for the year.
Joe Cardoso: Got it. And if I could just throw one clarification on the profile question. Just to confirm, in your guys strategic decisions, you're not looking in terms of walking away from any markets that you might see more moderate growth there?
Eric Starkloff: No, this is an important part of the business. It's pretty tied in from a product and platform point of view with the rest of the company. So it's really about how do we most efficiently serve those customers and how do we make incremental investments that will improve the growth opportunity over time. That's the focus.
Operator: Our next question comes from John Marchetti with Stifel. Your line is now open.
John Marchetti: Eric, I was wondering if you could comment for a minute on bringing the electronics business into that semiconductor segment. That's obviously been a growth engine for the company for a while now in semiconductor. And I've always thought of that as a fairly close Knit group of customers that you are very, very closely aligned with in terms of how you're bringing product to market and meeting those needs there. I'm curious as you bring the electronics piece in, which obviously is growing slower as well. What are some of kind of the puts and takes that we should be thinking about? And if that really significantly broadens out the customer base that segment now reaches.
Eric Starkloff: Sure. Good question, John. So yes, let me describe a little bit of the logic of the synergies between them. So first and foremost, the actual measurement challenges and test challenges have a lot of synergy between electronics and semiconductor, the same type of measurements that are done. So we see alignment there. And then alignment and sort of the way we serve those customers from a sales and support point of view. You're right that the -- it's a bit broader set of customers. There's a larger number of customers in electronics. It's been growing, but not growing as fast. But the other trend that leads us to that is that you see a lot of the larger electronics companies doing more of semiconductor so their is some synergy and overlap that comes from the way that we're serving those accounts. And then on the other side of the equation, if you will, it does make our portfolio be you more of a pure-play to the broad-based and we think that kind of homes in and focuses our strategy a bit more in the ways that I just described to Joe in the last question.
John Marchetti: Got it. Okay. And then if I can just follow-up very quickly on the semiconductor business overall. It sounded like China, in particular, outperformed expectations from a quarter ago. And I'm curious as you're looking for where you're standing now and into '21, how you think that China piece of the semiconductor business continues to perform?
Eric Starkloff: Yes. So it did -- as we mentioned, China performed very well. Overall in Q4 at 19% growth, and we've seen continued strength in Q1 to date in APAC overall. And semi is a big piece of that Now there's a lot of moving pieces, to be honest, in terms of China. As we've highlighted in the past, we have trade tensions and restrictions, but then there's also an economic recovery really taking hold in APAC and in China. There is a stimulus that's going on, which does affect semiconductor as well. So there's a large investment in new semiconductor companies in China that we think is a tailwind, certainly right now and going forward. And then really proud of the execution of our team. So it's been a dynamic environment. And certainly, they've had to adjust to a lot of change. And one of the areas, in particular, is in the semiconductor space the work that the literally thousands of semiconductor startups that are have emerged in China. That need software, connected, test equipment and so forth. So really proud of the execution of the teams there as well.
Operator: Our next question comes from Richard Eastman with Baird. Your line is now open.
Richard Eastman: Yes. John or Karen, could you just reconcile for a minute, we talked a little bit about the portfolio products business, and I think the reference was order growth was low single digits year-over-year. And when you look at the order growth, in orders under 20,000. It looks like maybe that was down 4% year-over-year. Is there something to reconcile there? I think the portfolio of products is falling into that category, but there's a pretty big delta there between maybe the low single-digit growth and minus 4% that was reflected. Am I not doing the right math here?
Karen Rapp: Yes. There's actually -- the orders under $20,000 go across all of our business units. So our portfolio has the highest percentage of them. Portfolio also has a significant piece of the orders over $20,000. So you can't correlate them exactly like that. Because every one of the businesses now -- I think we've laid that out -- we've got some of that information previously, but semiconductor has the least amount of the under 20k business. Transportation and ADG have similar amounts kind of in 40% or so. And then portfolio was the higher percent 50-ish percent or so of the under 20k business. I'd have to go back and get the exact numbers for you on that, Rick.
Richard Eastman: Okay, okay.
Eric Starkloff: Rick I also comment that -- exactly what Karen said. The -- certainly, we did see a lot of sequential improvement on both order sizes, right? So the under 20k business improved significantly sequentially. So that did reflect in portfolio BU. But as she said, there's also over $20,000 business, which obviously grew and put it into positive territory.
Richard Eastman: I see. Okay. Okay. Fair enough. So Eric, the order cadence through January, is that kind of support that midpoint revenue growth? Because again, in your orders, you have some software, some deferral -- deferred revenue there. It doesn't all fast turns, quick turns type stuff. But just curious, is the midpoint supported by the book and ship or the order cadence through January?
Eric Starkloff: Yes. Rick, If it's okay. I'll take that one. The guidance actually builds in the expectation that we do plan to build some backlog in Q1. We're seeing -- you may have seen in some of the other companies that you're following. There's some supply constraints right now going on across the supply chain. And so we've lived through this before. We can mitigate a lot of that with the inventory position that we hold. But there's potential to be 1 or 2 components we aren't able to get or lead times push out and they push out beyond the quarter. So we have built some expected backlog build into the guidance, specifically on the hardware side in that case.
Richard Eastman: Okay. And then just my last question here. As we look at maybe the adjusted op profit for '21, again, given how we finish '20, the '23 maybe plan, the business plan or at least the goals there. Would suggest if you straight-line the trajectory towards the goal there for '23, it would suggest that maybe the target for adjusted op profit is somewhere in the 16% to 17% range. And again, there's going to be a lot of flex here with how revenue turns out. So I totally understand that. But is that still kind of midpoint being 16.5%. Is that still maybe a realistic goal here as we move towards our '23 target?
Karen Rapp: Specifically for 2021, you're talking beyond Q1 now, right, as you're looking at
Richard Eastman: Yes, I'm just talking for the full year that would be in the range. If we look at the trajectory towards 23 is adjusted op profit goal that you laid out. And if I just straight-line the improvement off of '20, I'm going to end up with about 1.5 points of adjusted op profit margin. And it would seem that again, at least with the first quarter start of 10% sales growth at the midpoint, that maybe that's a realistic way to think of a target for '21.
Karen Rapp: Yes. The Q1 guide, for example, increases operating income year-over-year for the quarter for Q1. So I think you can kind of build out a model that does that throughout the rest of the year, depending on as you said, it's going to determine -- it's going to be determined by what revenue does for the year. But yes, I mean, our expectation is to continue to build toward that 20%. And we talk about it we're committed to that model. And a lot of what we're focused on is how to accelerate that model. So we'll be working towards getting there faster than 2023 as possible. 
Eric Starkloff: And just one other comment on that thread, Rick. Certainly, as you noted, coming in Q1, the midpoint of the guidance is 10% revenue growth, 20% earnings growth. That's billing confidence, frankly in the three year model. And our ability to hit the commitments that we've shared.
Richard Eastman: And just if I draw that, again, just draw out the trajectory here, if we look at what would be typical seasonality in 2020 year. Again, we should get -- we should build off the 10% revenue growth, at least, I would think in Q2, Q3. Just because of the pothole that we're passing over there and the current order momentum. Is that a reasonable expectation?
Karen Rapp: Yes. It's hard to look out even that far. At this point, this is a new experience coming off of pandemic like this that still honestly over. But I'm a little hesitant on the normal seasonality at this point, especially, Q4 will be a tougher compare for sure after the strength we saw coming out of the end of 2020. I'm just encouraged by the starting point to 2021.
Richard Eastman: Yes. Okay. All right. Yes, as a -- with the guidance. And this is last, I promise. Eric, the strategic partnerships that we've been kind of tracking here over the last, literally almost few months and certainly the fourth quarter. You had this autonomous driving one with Conrad. You have a semiconductor with Soldata. This A&D was set. Just maybe just a couple of thoughts on this. Does this bring in some systems and solutions capabilities? Is this kind of a buy or partnership versus build internally? And given that these are already NI partners, how do we accelerate the growth with these partnerships in solutions in semi, A&D and autonomous driving?
Eric Starkloff: Yes. No, Rick, you're thinking of it right. I mean, this is really about us, first and foremost, in our strategy, identifying the secular growth trends that we're focused on to deliver these higher level capabilities. And then it really is where can we utilize existing partnerships or even new partnerships and really build -- when we talk about these strategic ones that I highlighted, it is a coordinated sort of development and go-to-market of some specific technology around systems that serve those areas of focus. So it is a way to accelerate delivery of those systems and solutions into the areas where we're focused, exactly what it is.
Operator: Our next question comes from Mehdi Hosseini with SIG. Your line is now open.
Mehdi Hosseini: When I look at your product revenue and compare it to software, it seems like software is gaining momentum, especially as you capitalize on OptimalPlus acquisition, but I still need some additional color as to how to think about the mix as you scale Optimal should we expect software revenue to continue to outperform product? Or would there be additional opportunity that you can capitalize on? And in depth context, how should I think about the mix for 2021 compared to 2020? And I have a follow-up.
Eric Starkloff:  So software, as I've said, it's a very strategic part of the business. We view it as building on an existing strength. And we do expect that to be a higher percentage of mix over the next several years. We've laid out a pretty long-term goal of a sort of a 5-year trajectory to 30% of revenue. And that's, of course, also assuming the top line is growing overall. It is influenced certainly by OptimalPlus. It's not only OptimalPlus. We have a number of different organic investments as well of building out new offerings. In our software capability, we see those gaining traction and have expectations that will be, yes, a higher percentage over time.
Mehdi Hosseini: Sure. Okay. And then 1 follow-up. I remember the last time we were at your user group, ADAS was a growth driver, a long-term growth driver. And since then, the whole evolution of electric vehicle, which I think is a driver behind ADAS has taken off. And now there is more of a organized effort by the other industry to migrate that way. And I'm trying to reconcile that with benefits to NI. And is this something that we still have to wait? Is it more of like a part of the 5-year target? Or are you beginning to see incremental benefit?
Eric Starkloff: Yes. Good question. So we're seeing significant growth in both electrification and active safety or ADAS. Those are the two main growth drivers or focus areas within our transportation area. They grew in 2020 despite the headwinds in the industry, and it is our expectation that they will grow and be a bigger part of the mix. We are bullish on the long-term opportunity in transportation for that reason. We view this as kind of early innings of what's going to be a sea change in that industry. You may have seen today, GM announced that by 2035, they will only have 0 emissions vehicles. This is going to be a significant change, and that level of technology change requires this sort of software-centric approach that we provide, it requires significant amounts of testing and validation. And we think that, that's going to be an opportunity for years to come. And so we are focused in this time frame in 2021 on wins and sockets of our test platform in those opportunities.
Mehdi Hosseini: Got it. And then just one final question for me. I'm going to go back to the change in management or leadership. I joined the call as you were discussing it. Are those changes driven by market dynamics? Or is that just fine-tuning the teams, I think it's been a little bit more than a year since you took the leadership. And I'm just trying to see how you're managing different portfolios of products and services and markets and how you're recalibrating? And is that reflected in the change in management?
Eric Starkloff: Sure. So I got three days until my one-year anniversary comes up and getting close. So yes, the -- these are sort of incremental moves on my leadership team, and they're reflective of a couple of things. One is, as I mentioned, with portfolio one hand, there's a continuity of strategy. We have been doing a lot of work with the existing leadership team, focusing on some of the areas that I discussed in the beginning of the Q&A. And then I see an opportunity and aligning that with pretty closely with our marketing and sales organization. I described that as the sort of nearest term lever. And so combining that under Jason's leadership makes sense from an execution and driving the performance and then Ritu into the organization a few years ago, as I mentioned, you had significant external expertise, including at the CEO level and has been quite successful in leading our semiconductor business, which has been a strong performer, and that's an opportunity for her to expand her leadership role as we see similar opportunities to scale our strategy, add systems and customer intimacy and focusing on these end market opportunities in transportation and ADG. And as our strategy matures there, she'll be able to accelerate that.
Operator: Our next question comes from Mark Delaney with Goldman Sachs. Your line is now open.
Mark Delaney: I want to start first with the semiconductor business. And given some of the supply demand constraints that are impacting the semiconductor industry. I'm wondering if there's an opportunity for NI to benefit by and help to alleviate the situation by selling more test equipment and perhaps semiconductor industry output. So is that something you think is an opportunity for the company? And if those are something you're already benefiting from this quarter? Or is that something that in the current March quarter? Or is that something that perhaps is later in 2021?
Eric Starkloff: Sure, Mark. Yes, we think -- look, we think semiconductor is clearly in an up cycle, and that's good for the business. That's reflected in Q4, but also in early Q1 the other -- kind of under the hood of some other things that are helpful to that business, part of that recovery economically, the mixed-signal and analog part of the business that we serve is healthy 5G, we expect to be -- it was a growth driver in 2020. We expected to be a growth driver in 2021. And then I shared a bit of the commentary about China and about the investments in semiconductor supply chain and test equipment. So those are benefits. And then really -- it's our own execution. It's the strategy that we put in place to have more system-level capability in software and services in that space. And we just see that gaining traction. So those are the positives driving the semiconductor business and why we have an expectation for it to continue to grow and to meet the three year growth targets that we shared previously.
Mark Delaney: That's helpful. And for a follow-up question on software and the company's goal to get to 30% of revenue from software or more of 2025 is that a percentage you think you can achieve organically? Or do you think you need to do additional M&A in order to get to that type of software mix? And then perhaps not so specific to 2021, but if you could help us think a little bit more generally about the linearity of going from 20% to 30% or more? Is this something that you expect to be relatively consistent over time or more back-end weighted as you think about that mix increasing?
Eric Starkloff: Sure. So as we said, we will look to inorganic opportunities as strategy accelerators across our strategies. This is software, but inclusive of the other areas as well. We're also investing significantly in our own capability. As Karen mentioned, we've got this new jewel and the capabilities and OptimalPlus platform that we're building on and integrating, and we see opportunity to extend that in different ways, both technically and through the channel. And so those are all opportunities that play into our view of our software opportunity over the coming years. We've set out a five year goal. It's our intent to report over time about the progress on that goal as we go through the next few years.
Operator: I'm not showing any further questions at this time. I would now like to turn the call back over to Eric Starkloff for closing remarks.
Eric Starkloff: Okay. Thank you all very much for your time. Thanks for joining us today. Have a great rest of your day and stay safe.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.